Operator: Good afternoon and welcome to the Moelis & Company Earnings Conference Call for the Third Quarter of 2022. To begin, I'll turn the call over to Mr. Mat Tsukroff.
Mat Tsukroff : Good afternoon, and thank you for joining us from Moelis & Company's third quarter 2022 financial results conference call. On the phone today are Ken Moelis, Chairman and CEO; and Joe Simon, Chief Financial Officer. Before we begin, I would like to note that the remarks made on this call may contain certain forward-looking statements, which are subject to various risks and uncertainties, including those identified from time to time in the Risk Factors section of Moelis & Company's filings with the SEC. Actual results could differ materially from those currently anticipated. The firm undertakes no obligation to update any forward-looking statements. Our comments today include references to certain adjusted financial measures. We believe these measures when presented together with comparable GAAP measures are useful to investors to compare our results across several periods and to better understand our operating results. The reconciliation of these adjusted financial measures with the relevant GAAP financial information and other information required by Reg G is provided in the firm's earnings release, which can be found on our Investor Relations website at investors.moelis.com. I will now turn the call over to Joe to discuss our results.
Joe Simon: Thanks Matt, and good afternoon, everyone. On today's call, I'll go through our financial results and then Ken will comment further on the business. We achieved 232 million of adjusted revenues in the third quarter, a decrease of 55% from the record prior your third quarter. The decrease during the quarter is primarily attributable to lower levels of transaction completions driven by the volatile markets. Our nine-month total revenues of 768 million were down 33% from the record prior year period. Moving to expenses, our year-to-date compensation expense was accrued at 62%. Given the dislocation in the transaction environment, our investment in new MD hires and non-MD compensation inflation across the industry, the 62% comp ratio is our best full year estimate. Our third quarter non-comp expenses were 38 million, resulting in a year-to-date non-comp ratio of 15%. T&E is still tracking at 75% of pre pandemic levels consistent with expectations. Our year-to-date pre-tax margin is 24%. Moving to taxes, our underlying corporate tax rate of 27.1% for the third quarter is consistent with prior quarters. We continue to maintain a fortress balance sheet with no funded debt. Our board declared a regular dividend of $0.60 per share, and during the quarter we repurchased approximately 330,000 shares, which together with the first and second quarters has resulted in a year-to-date buyback of approximately 3.2 million shares. As always, we remain committed to returning 100% of our excess capital. And I'll now turn the call over to Ken.
Ken Moelis: Thanks, Joe. Following Chairman Powell's speech at Jackson Hole meeting all financial markets, stocks, bonds, currencies, commodities became significantly more volatile. That volatility has adversely impacted M&A and capital markets. What I find surprising in this uncertain environment is how ambitious our clients continue to be however, even though short term deal execution is difficult in today's market, client engagement is very strong. Volatility, as I've said before, leads business leaders to reevaluate their competitive position in the world and make decisions. Many of these decisions will lead to transactions. Planning ahead in the short term, which is certainly turbulent, we have the leading restructuring team on Wall Street. This quarter, the team has seen an increase in mandate as financial stress continues to build. It only takes a modest uptick in default rates to fully deploy this very talented team, which remains an enormous opportunity for the firm. Looking over the horizon, these cycles are typically limited. The M&A market will continue to grow. To support that growth, we've added a total of 25 managing directors this year, 16 through internal promotion and nine through external hiring. The areas of focus are the ones we have previously highlighted, which include technology, healthcare, industrials, and private funds advisory. We've built a resilient firm with a fortress balance sheet, no debt and pre-tax margins of 25% or better over the course of the cycle. We view our people, our culture, and our client relationships as extremely valuable long-term investments. And with that, will now take questions.
Operator: [Operator Instructions] And our first question is from the line of Devin Ryan.
Michael Falco: This is actually Michael Falco standing in for Devin. I wanted to start on the financing markets. Are there any signs of improvement in overall conditions there? How big of a factor has that been in the recent slowdown in the M&A market overall? And what should be we should be watching going forward to see how that progresses from here?
Ken Moelis: So look, I'd say no, there's been no, and it depends from what date you're asking, but again, since about Jackson Hole speech, I'd say there's been no improvement, maybe even a slight degradation in that market over that time. It's pretty difficult to get a deal done. I think what will change that market is some form of stabilization of the interest rates. And I think people are just wondering how far and how long the Fed goes. I don't -- you can't raise forever. So at some point, they will stop raising. Interest rates will reset around that rate. And I do think capital will become available at that rate and that is the missing -- right now that's the most difficult part of the deal market is the pretty much lack of financing in the leveraged part of the market. Investment grade is still operational, although more expensive.
Michael Falco: And then maybe for my follow-up. As you pointed out in your prepared remarks, you have been very active on recruiting year-to-date. Do you expect to continue to lean in on recruiting and headcount expansion? Or do you think there is any reason to be maybe a bit more cautious, given the more uncertain environment?
Ken Moelis: Well, the main reason that probably when you say lean in, it's, I guess, November now. I think you are pretty much done for the year on the bonus cycle. But the answer is, we are going to continue to invest. We think we have maintained this balance sheet. We have a fabulous financial condition in terms of liquidity, balance sheet, all of the internal fixed obligations you might have, including employee, leases, all those things. We're in, I think, the best position in the industry and it's a great time to use it. I mean, the reason you sit here and maintain your operational flexibility is to use it. The reason we were very aggressive is just fabulous talent became available. And I think it might have to do with the volatility. By the way, I think some of it was the volatility of last year. There were some excellent bankers in the world who I think realized working inside of a large institution, might not have the upside they thought, and I also think now in the downturn having our balance sheet and solid feeling of long-term visibility and investment in our talent base, they understand that as well. So I do think going into next year, we will be aggressive and we are going to spend. This is a long-term business. Your clients expect you to cover them, and do good work for them through good times and bad. And then when you come out of it, you have an irreplaceable asset, you have great bankers, great clients and relationships that are hard to recreate from scratch ever.
Operator: Our next question comes from the line of Manan Gosalia with Morgan Stanley.
Manan Gosalia: Maybe a follow-up to the question on hiring. You've mentioned that there is good talent out there in the market and you are leading in. And clearly in this environment, you're still doing $230 million, $240 million or so of revenues, which would I think put you on pace for your second strongest year. I guess how should we think about the revenue level that you need to get back to that high-50s comp ratio? Is the 62% comp ratio more temporary in this environment? And as soon as revenue started to tick back up over $1 billion, can you get back to that 59% or should we think about the investments you're making in hiring as pushing out that high 50s comp ratio here to maybe a couple of years down the line?
Joe Simon: Look, I think 62% is a comp of events, including a down revenue year. But one of them is also the inflation on non-MD compensation, which remember 85% of our head count is non-managing director. That's pretty sticky. Like a lot of industries, there's a bid out for talent and that's proven sticky. So that's there. And then the revenue pressure, you take that into account, and by the way, we looked around at our peers after the second quarter and many of them are running GAAP ratios. And again, I look at GAAP because we don't adjust much. They're 4, 5, 6 points over us on GAAP comp ratio. We like any business, you can't -- I think we have a better model. I do think we can run two, three points better, but over time you have to be competitive and you can't. So, you have to respond to that. And lastly, we did invest in talent, but I do think, look, the investment in talent is actually not a negative. The talent we got will, I think cover the comp ratio and will allow us more room. I think the, if we've done our job right, that should not be pressure on the comp ratio, that should actually relieve comp ratio as they produce. I don't know the exact answer to that, when you -- sorry to the point of what exact revenue you have to be at, but 62 is not our target. That's a unique confluence of events for this year, and the issues that I've pointed out from competitive nature, non-MD inflation and a lousy nine months of revenue to tell you the truth.
Manan Gosalia: And then, a follow-up to your comments on the financing markets. Is there a distinction between the financing available for larger deals? Because clearly the large [LBO] market is has been fairly muted over the course of the last few months, but is there still private financing available for smaller deals? And how are sponsors currently financing the deals that they are doing? And maybe if you can just talk about how they're preparing for further rate hikes from here and what they need to see to lean in?
Joe Simon: I think there is a slightly better or there's a maybe an open market for smaller deals because you can get creative, you have more flexibility, you have more lending sources. So, I think the bigger deal, maybe to put it in the negative way, the bigger deal, you have to go through some, a smaller amount of institutions that can actually stand up for a larger deal. And many of those institutions have moved to the sidelines where at the end of the year, I think they've had they have issues with hung loans of that size. So that probably is the market that is most quiet at this point. There are some deals getting done though. I mean, people are being very innovative. I saw a buyout, I think earlier this week, it was announced very innovative, take back paper financing. So there were deals getting done. And that's what I said about the ambition of our clients, the amount of conversations and desire to execute. And I think both buy and sell by the way, is a function of they're becoming a market available. Everybody realizes that market will have interest rate expense that could be as high double 12 months ago. And that will affect the price, but the market wants to transact on those -- some of those transaction, there's just no capital available and so everything is put on hold, or let's just put a large amount of transactions are just being put on hold.
Operator: Our next question is from the line of Steven Chubak of Wolfe Research.
Brendan O'Brien: This is Brendan O'Brien filling in for Steven. I guess to start, Ken, based on your comments, it sounds as if financing conditions are the biggest headwind at the moment. And you're hopeful that once the rate outlook kind of stabilizes, you expect some sort of improvement there, but at the same time, you as well as most of your peers are quite constructive on the restructuring outlook. So I guess my question is, do you believe that we could see a recovery in M&A activity in an environment with accelerating or elevated restructuring or do like you typically don't see those move in lock steps. So I just want to get a sense as to how you expect those two businesses to kind of interact?
Ken Moelis : I think, you could see that. And the reason is this is not 2009, It's not COVID, those are the last times restructuring spiked, and they spiked very quickly. Like COVID was a eight week fire drill, and then the Fed bailed everybody out. And by the way, ‘09, ‘10 was a little the same, it might have been an eight-month fire drill, but the Fed bailed everybody out. I think the opposite's happening here is that this is a slow moving car wreck. This is -- there's not anything immediate that is causing defaults in a very short term. It's just going to be rates keep rising. Remember, we've probably only had, most corporations have only made two interest payments under the new Fed regime. And again, those payments are looking forward the next quarter probably 200 basis points higher than they were a quarter and a half ago. So what I think is going to happen is you're just going to have the elements of possible gross margin pressure on companies, reduce gross margin as the economy slows and increasing interest rates just result in a long path of companies that are over levered to expose to floating rate interests and have their margins squeezed businesses where the margins get hit. I think that could be a long path of a couple of years of restructuring, which is very different than, again, ‘09 and COVID. So I think it could be extended. And during that time, I, again, there's a lot of money in private equity hands and there's a lot of -- and strategics are not sitting still. So I do think the transactions could be flowing if we get a market in which there is a supply of financing that allows transactions to actually be executed.
Brendan O'Brien : And then, I guess, for my next question. So in restructuring your mandates there have been building as you noted, however, given activity was very subdued to start the year. Want to get a sense as to where your mandate count sits today versus a more normalized environment such as 2019. And also, if you could provide any color on some of your non-traditional M&A businesses, and how those performed in the quarter, and your expectations for private capital advisory in this environment and capital markets?
Joe Simon: So restructures are up significantly. I don't have an exact percentage of the mandates, but the mandates are up pretty significant, 20% - 25% over the last quarter -- sequentially quarter-to-quarter. And it's starting to ramp. But as I said, that's going to be a long -- again, people are just incurring their first interest rate increases and there is not a macro event that's caused everything to stand still. It's just people looking out at a 24 maturity wall or a 25 and rate is increasing, that's going to continue to build. But it's not a big revenue event immediately. In terms of capital markets, that's with financing down the way it is. Our capital markets has run into the same headwinds. But the interesting part about that is we are built for that. We have -- as financings become less plain vanilla and more structured, it tends to be a call from an individual dealmaker to a large institution that could sit down and structure a solution for a client. And that's really right up our alley. We are not made to have a big salesforce distributed plain vanilla items. So I think that's going to be a positive for us. But in the short-term, there aren't many terms to get a deal done. I mean, and there aren't many terms that an issuer actually wants to issue at, as we have been advising people. If you don't have to be in this market, you do not want to be in this market. This is not a market you go into voluntarily to refinance. So you are already eliminating, you say, all the elective surgeries being eliminated. It's only if you really need it that you're going to go into the market. So all that is being affected. And I'd say the same our private funds advisory. I think we have made some great hires in there, by the way, of those external hires, we continue to build that group out. We think that's a long-term strategic place to be, but not in the third quarter of 2022. You are not going to monetize it in the third quarter of 2022.
Operator: The next question comes from the line of James [indiscernible] of Goldman Sachs.
Unidentified Analyst: I just wanted to ask one more on the rates environment, and then sort of the corollary how that affects -- how that's changed some of the FX payers. So in particular, is there an absolute level of rates that really changes the advisory activity levels or is that already sort of baked into the weaker market you are talking about? And maybe you could just talk about how rates are differently impacting sponsors versus strategics and how that just change the mix of M&A over the medium to long-term? And then we have obviously much stronger U.S. dollar. Is that catalyzing any sort of cross-border activity into Europe for example?
Joe Simon: So you are right about the strategies. I think our mix has kind of flipped a little bit of our revenue. I think it's done more strategic than ever before, because strategic tend to have better credit ratings and have more corporate availability. So that is happening right now, a little more strategic in the mix than financial sponsors. I'm a believer that, if you have a rate and let's just put this way too, I think you also need to have some clarity or people need to have some vision of where the future economy will be. But even that I think is out there, I mean, people have a -- there is a general view that the economy will be difficult next year that's in it, and that will be in the prices. So there are substantial amount of assets that want to a sell, and there are substantial amount of corporates and financials that want to execute on acquiring assets. And I think the pricing will fix itself rather quickly. I think it's in the pricing might already be there, but if you don't have a supply of financing to actually match a buyer and a seller and actually execute a transaction, it's just not going to happen. So, I think when you get to a stabilized rate environment, M&A will come back people, you can't just sit around wishing you were back in 2021. You execute and you do it at the price that makes sense given the capitalization you can get and the financing you can get. And the problem with that, right now, it's close to zero in a lot of instances. On FX, yes, we have people looking at it. That's again, that's pretty -- that happened pretty rapidly and I think there are a lot of people who want to look at opportunities around that. But again, you need the supply of financing to be able to execute on that and the confidence in where the Fed's going to stop and what the market will look like. But I think that could be a substantial generator of activity maybe early next year as you can execute.
Unidentified Analyst: Just a quick one on the restructuring business, I think people have a little bit of this recency bias where I think people think that restructuring could pick up really quickly. So I was just wondering, when you think about when those restructuring mandates that are starting to pick up are really going to be completed and manifest in your revenues? Is that more next year or is that sort of more of a 2024 type event?
Ken Moelis: We'll have a lot more mandates. We'll have a lot more -- and by the way, revenues will pick up because some of these transactions are to exchange, get, move maturities out. There's a lot of things that happen in the interim, but the large success fees that are based on bankruptcies, recapitalizations are always out. I think that the interest rate takes a while. Again, COVID was an immediate event. People were like, hey, everybody's home. And we had a modelled -- companies that went to zero revenue. I mean, we've modeled zero EBITDA, but until COVID we never really modeled zero revenue from any companies as a downside, that's not happening now. In fact, in a lot of businesses the consumer continues to spend and unemployment is low. And so it'll hit through margin and interest rates and I think that will be a long, but could be very profitable long term opportunity. Again, we got to like a 1% default rate. There's a tremendous amount of debt out there and all, as Joe was saying before, all we needed to get to is 3% or 4% and I'm not sure the street has the personnel to cover it.
Unidentified Analyst: And then just one quick one for Joe. Non-comps came in down on a dollar basis, quarter-on-quarter how should we sort of think about the run rate for non-comps? Is that something we should expect to grow from here given all of the inflationary pressures? Or is this sort of a good run rate to base next quarter on?
Joe Simon: I think the run rate as I've described in previous quarters is kind of 40 area, it'll fluctuate, but not a great deal, I don't think.
Operator: [Operator Instructions] And our next question is from the line of Brennan Hawken of UBS.
Brennan Hawken: I'd like to start by circling back to the comp ratio. So 62% for the full year, Joe, got that loud and clear, but this environment has stayed uncertain for a lot longer than many folks expected earlier this year. And so, and yes, I hear you Ken, that eventually the Fed's going to stop raising rates. But that's -- they've also -- the Fed has also basically told us that they're going to jack up unemployment and that's going to lead to credit losses and lenders aren't exactly lining up when you got credit losses stacking up. So if the environment remains uncertain into next year, how should we be thinking about a comp ratio at that point? Is it come down to a ratio? Or is it more just thinking about the fixed expense base and the ratio will fall where it will?
Ken Moelis: Well, it's probably a little about what you're saying at the end there, which is, so first of all, if we really have an environment that you have, remember one of the things I talked about is the non-comp, the stickiness of the non-MD inflation -- comp. If it's as bad as you're saying, Brandon, look, we can't 85% of the workforce in the banking environment can't stick to the comp levels that sort of happened last year. I think, there'll be some resilience in that if it gets as bad as you're saying. And that's hitting it. Again, but what you said is a little bit right. I just want to say this is look our best guess is 62, because we don't have a crystal ball on the fourth quarter. But we think we have a good outlook on where it is. We think we know what our competitors are doing, which by the way is an issue. I mean, we literally can't run our business. You can't have a supermarket that sells the goods that or hires employees cheaper than the one across the street. And we responded to that, because we saw that people had started to inch up their comp ratios, which mean we're that we're not going to see any reduction. But what happens at the end of it is, I love the team we put together. It's, we've been in business, we're only been around 15 years. Our client base is as good as it's ever been. Our penetration into boardrooms is better than it's ever been. And so, yes, your last statement was kind of right, which is we look at where the business is and what we need to do to maintain the asset we've built. The asset is the culture, the people and the relationships. I can't call up company XYZ, and tell them, look, I know we spent six years getting this relationship, we just can't do your work for a couple of months here, while we hold the comp ratio down. We'll be back to you when in a better time. And I'm sure you'll love to hear from us after we fire your team and we'll hire them back. That's not going to work. And so we spent six or seven years developing these clients. We're going to keep them, and if that's what you were asking at the end, does the last thing just fall out? The answer's sort of Yes. Protect the franchise.
Brennan Hawken: Right. It's an output, right? It's not an input.
Joe Simon: It's kind of an output to protecting the franchise. And I look the best part about what we have is it, even if you're the strongest bank in the planet, you're levered 10 to one. That's just the method, that's the economics of a big bank. We're not -- we have no debt. Our balance sheet's in great shape, our liquidity, and we're not giving away the, we're not going to give away clients and franchise. We to we're going to be the strongest player coming out of this, not the weakest.
Brennan Hawken: Okay. So it's interesting when -- and you definitely hit on a lot of the upward pressure to comp at the more junior levels. I'm sitting here reflecting back on some prior discussions that I've had with yourself and other members of the management team. In the past, partly [allure] and this might have changed over time, but was that you -- when you brought in junior members, it was completely fine for junior members of the team to have ultimately moving on into private equity or other industries as part of their career path and actually you would facilitate and work with the juniors when they did that, rather than make them feel as though they had to hide the activity and whatnot. Would this be an opportune time to begin to try to think about trimming ranks of juniors through attrition through those constructive channels that could help manage some of the expense base, particularly given the fact that -- I mean, look, I hear you -- this is a weird environment because financing is tight as a drum. But you could argue that, since COVID, it was a weird environment because the Fed was pumping liquidity like crazy and this out of inflation means that, that solving advances over for quite some time. So you could argue that, maybe the environment is -- this is more than just temporary. And there is just going to be a different level of engagement than what we got used to there for that very, very hot period of time. Sorry, I know it's kind of a long-winded question, Ken.
Ken Moelis: Well, the two points. So the junior talent that goes to private equity or something like that are analysts. That's kind of our two, three-year analyst program. And we continue to do that. I mean, they want to do it. We like to try to keep them, but we realize that, they may. So that's once they get here as associates and VPs, that's a very important part of our firm. And by the way, it's a very hard place to hire. Last year that was our most difficult thing was getting our great VPs and third year associates, second year associates. No, we are not going to do that. And in fact, just the opposite, our engagement is high, Brandon. And again, there is not a lot of firms like us and there is a lot of companies in the world and you have got to provide really good work to them. And those people that you are talking about, the first, second, third, fourth year at a school, permanent employees it's the heart of the firm. That's where great work gets done, clients notice it. And those assets, it looks I know in the short-term, it's not easy. But, those are the assets that when the market comes back, you can't recreate and we are going to use this opportunity to outperform for our clients to be on top of them and to get work done on schedule and on time and show off. And then, I believe whether it be six weeks, six months, two years, there will be a really -- there always has been, look back at Wall Street for 40 years, it's just a growing -- there's a growing group of clients and we're going to be there for them. And I hope other people do exactly what you say. Make sure you ask some of the other banks to do that because that would be a good favor to do that, because that would be a good favor for us.
Operator: And our next question is from the line of Mike Brown from KBW.
Mike Brown: So, I guess most of my questions have been asked and answered, but for the fourth quarter is typically seasonally strong. And Ken, as you said, that you don't really have a crystal ball here, but as you contemplate that 62% full-year comp ratio, does that include an expectation for that seasonality to play out as it typically does? Like we've seen in the past,
Ken Moelis: Look, we have two forces going on our pipe. Our pipe is about where it was in the third quarter last year. Our pipe is high. That's why to bring to the question I wasn't trying to be mean. We want to service the people who have the same level of deal activity. They're contemplating, we've scrubbed it. I'd use the word the pipe has to be, by definition, more fragile than it's ever been because you get to the financing part and if it's not there. So we've scrubbed it as good as we can. And we think you have the -- yes, you usually have a seasonality in the fourth quarter, but you haven't had the fed trying to rain on the seasonal, the seasonal factors. I mean, so I think we have a hurricane coming out to the Fed and a seasonal upturn that's normal. I think those things might offset each other. And what we've really done is just looked through our pipes, scrubbed it, and tried to come up with what we think the revenues that we could expect to come in. And again, to this point of investing through the cycle, I just want to say, through the nine months we've run a 24% pre-tax margin. That's not a terrible business and that's not a business that to get to a point higher margin. Again, it was to Brandon's last point, it's not the end. It's not a horrible business to run a 24% pre-tax margin. And I think we probably still have one of the highest pre-tax margins of anyone in the business of our peers. But again, I do think you're going to have competing forces in the fourth quarter. We tried to take that into account as best we could, but it takes into account both things you're saying the seasonal positives of the fourth quarter, and also the negatives of what's been happening in the interest rate environment.
Mike Brown: And just to change gears to the capital return, you guys always return about a hundred percent of capital to shareholders. Clearly, it's a more challenging environment here. So some of the inbound questions we've gotten from investors is about the regular dividend here. So your EPS was 37 cents this quarter and your regular dividend is $0.60. And your cash levels certainly seem adequate and your, your free cash flow is typically higher than what your EPS would indicate. But just given the fact that we are still in a quite a turbulent period here, as you mentioned any comment there about the regular dividend here is it still safe here at $0.60?
Ken Moelis: Yeah. So, remember your $0.37 includes a one-time change in the comp ratio to bring it up. The way we think about it is we're supposed to bring our accrual up to what our best guess of the year is. So we did it all in the quarter.
Joe Simon: And full-year earnings are approximately maybe a little higher than the year-to-date dividend. So -- and then we also have the non-cash charge of equity.
Ken Moelis: Look, if anything we've had conversations, and I'll say this, but it's up to the board to do it about increasing the regular dividend. We just felt like in this market it felt kind of strange to do that. So we do want to return a 100% of capital, and we think we've got more excess capital that we could return. We just haven't done it, because it would seem strange to increase the dividend in the wake of what's going on.
Operator: And we have no further questions register at this time, so I'd like to hand back to Mr. Ken Moelis for any closing remarks.
Ken Moelis: Thank you, everyone. Appreciate it. We'll see you on the next call.
Operator: Thank you to all those who joined. This concludes the Moelis & Company earnings conference call third quarter of 2022. You may now disconnect your lines.